Operator: Good morning and thank you for standing by. Welcome to Zenvia's Q4 2022 and Full Year Earnings Conference Call. Today's speakers are Mr. Cassio Bobsin, Zenvia's Founder and CEO; and Shay Chor, CFO and Investor Relations officer. Please be advised that today's conference is being recorded and a replay will be available at the company's IR website, where you can also access today's presentation. At this time, all participants are in listen-only mode. After the prepared remarks, there will be a question-and-answer session. [Operator Instructions]
Cassio Bobsin: Hello, everyone, and thank you for joining us at Zenvia's Earnings Call. I'm Cassio Bobsin, Founder and CEO. Today, we are going to review our performance for the fourth quarter and full year of 2022. Let's start on Slide 4. When I look back to 2022, the main word that comes to my mind is integration. As you all know, integrating and acquiring company into a business is a complex task, especially in our case, as we're building a unified SaaS platform which requires a full integration. So I'm happy to report that we reached the end of the year with D1 and Movidesk totally integrated into Zenvia and with earn outs already negotiated. This means we are now more than ready to fully explore the synergies that come from offering the most comprehensive CX SaaS platform in Latin America through a full suite of products, attraction, conversion service and success and accelerate our growth. As we have been saying, every quarter here, there is still a huge white space opportunity in the CX SaaS market in Latin America and we have just begun to tap it. But there are also big opportunities coming from AI that I would like to discuss with you. We are at the dawn of a new era, one where generative AI will generate massive opportunities within the SaaS industry, allowing hyper personalization, behavioural prediction and actionable insights. It is a brand-new world for CX and we are very excited to be a leading player in it as we've been already integrating ChatGPT technology in our platform. Throughout the year, we expect to drive a whole new set of automation and efficiency improvements through our platform as we take advantage of these new technologies that are being widely demanded by our customers. I will now turn the floor to Shay for his remarks. I'll be back after that for the Q&A.
Shay Chor: Thank you, Cassio. Hello, everyone, and thank you for being with us today. In the last quarter of 2022, we kept executing our strategy, focus on balancing growth and profitability, and I can affirm that we did that. We are reporting solid evolutions on gross profit and gross margin, which allowed us to generate positive EBITDA and operating cash flow. These were indeed the best quarterly profitability metrics since our IPO. In the first quarter, where we surpassed a BRL100 million milestone in gross profit. We did this despite the challenging and more competitive environment that we experienced not only this quarter, but most of the year. Even though our total revenue dropped 8% year-over-year as a result of our focus in a profitable CPaaS business, the SaaS business continues to be our growth engine with the top line perform expansion of 44% when comparing Q4 '22 to Q4 '21. Our gross profit jumped 65%, adding 26 percentage points to our adjusted gross margin, that reached 58.6%, which attests to our full commitment and path towards profitability. Let's take a look at the same picture for the full year. For the year, we can see double-digit growth in all metrics. We grew revenues by 24%, gross profit by 68% and gross margin by 12 percentage points, leading us to a normalized EBITDA, which excludes non-cash impacts from earn outs and impairment of BRL23.5 million. This is directly related to a combination of solid SaaS growth and more profitable CPaaS added to our focus on strict cost control and cash preservation in the year. Let's take a look at how each of our business is contributing to profitability. Here on this Slide, you can see the breakdown of our gross profit mix by SaaS and CPaaS and its evolution throughout the year. We can see sequential increases in both SaaS and CPaaS margins, which means that our focus on profitability paid off. CPaaS delivered a solid 41% sequential increase and a 62% expansion when compared to the second quarter when we started to see a more competitive environment. Our SaaS business surpassed a BRL50 million gross profit mark this quarter and 18% sequential increase leading to BRL102.5 million in total gross profit. Comparing Q4 to Q2, the increase in gross profit was 33%. Let's now look at this data in terms of weight in our financial metrics. As we've been saying since our IPO, we are on a mission to transform Zenvia into a SaaS company. And I'm very proud to report that our SaaS business is close to reaching BRL0.25 billion in size, with an annual recurring revenue of BRL239 million in December. Net revenue expansion totalled 124% in Q4 compared to 123% in Q3 '22. Even though Q4 is seasonally a strong quarter for CPaaS because of high holiday sales like Black Friday and Christmas, our SaaS services represented 41% of the total revenue in the fourth quarter, a large sequential improvement from Q2, when SaaS was only 29% of total. For the year, we already see 34% of our revenues coming from SaaS. In terms of gross profit, we had a split result this quarter, with SaaS representing 53% of gross profit for the full year. Looking ahead long-term, we expect SaaS to represent about 70% of our gross profit. We are just beginning to tap the huge white space in the SaaS market in Latin America. We are working hard and confident on our strategic planning. Let's now move to the next slide to comment on the evolution of our gross margin. On this slide, we present our gross margin evolution since the beginning of '21. We have delivered on the promises made during our IPO. We have expanded our margin in Q4 significantly, a double-digit expansion from both the IPO in Q2 of '21 as well as from the same quarter last year. From Q1 '21 to Q4 '22, it more than doubled. We reached a gross margin of almost 59% in Q4, taking the full year margin to 44%, as you can see in the orange bar to the right. This is above the top range of our updated guidance for the full year 2022 and yet another proof that we are walking the talk on our path to profitability. Looking ahead, it is worth noting here that we do not expect gross profit for 2023 to remain at the same level reached in Q4. We'll discuss this in more detail in our 2023 guidance more minutes. Let's move to the next slide. In this slide, we show how organic and inorganic growth contributed to 2022 revenue. The three more recently acquired companies, D1, Movidesk and SenseData, added BRL156 million to our consolidated net revenues for the year. This number compares to BRL41.5 million in contribution in full year 2021, when we consolidated only four months of D1, two months of SenseData and zero revenue from Movidesk. It is worth noting that ex-M&A, our revenues grew 5% year-over-year, while our gross margin jumped a solid 33%, once again demonstrating the result of our strategy to focus on increasing the profitability of the more mature CPaaS business. Let's now address our efforts on the cost side that were relevant to our full year results. As of July of last year, we have begun implementing cost-cutting initiatives, especially as we accelerated the integration of the acquired companies and started extracting synergies. In addition to reducing non-personnel G&A expenses such as consulting and travel, among others, we also announced in November a downsizing of our corporate structure equivalent to 9% of the total workforce in Latin America. We incurred a one-time expense of BRL5 million that was registered this quarter, mainly related to severance. In turn, we expect to capture approximately BRL70 million in reduced costs in '23 onwards, being BRL40 million from the downsizing and BRL30 million from the other cost-cutting initiatives. We have been pursuing a more efficient operations in the second half of '22 and will continue to do so constantly to improve EBITDA as demonstrated in the next slide. As a result of a very well executed strategy in a very complex environment, we recorded in the fourth quarter BRL23 million in normalized EBITDA. Evidencing the profitability of our operation. A closer look at the quarterly trend in this chart shows how our EBITDA improved quarter after quarter during the year with Q3 putting us at breakeven for the first nine months of the year while Q4 led us to beat our guidance for 2022. During the quarter, we registered a goodwill impairment of BRL136.7 million inches the SaaS business related to the slower revenue growth in the medium and long-term on the back of a more challenging macro backdrop and a higher discount rate reflecting an increased perceived risk. Including the non-cash impact from the goodwill impairment and earn out expenses, our reported EBITDA was negative BRL189 million in the quarter and negative BRL214 million in full year. You can find a detailed EBITDA reconciliation in our financial statements. Let see how our full 2022 EBITDA compares to historical numbers on the next slide. Here you can see the evolution of our EBITDA metrics in the last five years. We are happy to see the reverse of the negative trend as a direct result of the decision to pivot Zenvia into a SaaS company. Bringing this performance back to the profitability path that we have always been part of the 19 years of our history. It has not been easy, especially given the complex macro environment, but it has paid off. Both the quarterly trend we saw in the previous slide with a strong exit rate for the year and a history of delivering profitable operations shows in this slide makes us confident in our capacity to deliver not only a solid EBITDA expansion in '23, as we'll discuss in a minute, but also a new record in EBITDA generation next couple of years. More than generating solid EBITDA, we have been very much focused on converting these EBITDA into cash. This slide shows that our operations generated a positive BRL27 million operating cash flow. This is a combination of our focus on profitability coupled with a strict working capital management allowing us to maintain a healthy CapEx level to keep investing in innovation. Even after paying interest and amortizing debt, our cash flow would still have been almost BRL10 million positive in this quarter. Before we move to reviewing how we did against our 2022 guidance and provide guidance for '23, I would like to quickly remind you of the agreement with D1, Movidesk and SenseData to extend the payment agreements of the earn outs, which allowed us to drastically reduce our funding gap until the end of 2023 as you can see in this slide. We were able to reduce the total amount to be paid in '23 to approximately BRL62 million down from BRL420 million by extending the payment schedule to the fourth quarter of '26. To finalize let's review our 2022 performance versus guidance and discuss our expectations for '23. This slide summarizes our '22 guidance versus actual figures. In terms of revenues, we remain within guidance ranges for all provided metrics with CPaaS closer to the low end, while SaaS revenues were practically in the mid-range. In turn, all profitability metrics were above guidance. Gross margin came in at 44%, above the 40% we guided with both SaaS and CPaaS margins also above guidance. CPaaS was 31% against 27% and SaaS was 68% against 65% guidance. The year-over-year evolution of the gross margin was 11.7 percentage points, well above that 7.7 percentage points at the top of the range. And finally normalised EBITDA of BRL23.5 million that was also above our guidance of between BRL10 million and BRL15 million. With a solid delivery on our 2022 numbers versus guidance, we are introducing our guidance for full year '23. We expect our revenues to be between BRL830 million and BRL870 million implying a 12% top line growth at the middle of the range boosted by a 30% to 42% expansion of our SaaS business, CPaaS should stay flat, reflecting its more mature stage. Our gross margin should remain at a similar level compared to '22 as we expect the higher SaaS in the revenue mix should be offset by lower margins on CPaaS. Finally, we expect our EBITDA to be between BRL70 million and BRL90 million implying that our EBITDA margin should be close to 10% level, putting us on track to deliver the 15% mid to long-term level that we presented during our 2022 Investor Day. With this review of a solid quarter and high confidence in our business for '23, we conclude our prepared remarks and are ready to take your questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Gabriela Moraes, sell side analysts from Itau BBA. We are now opening the audio, so that you can ask your question live. Please go ahead.
Gabriela Moraes: Hello, guys. Good morning. Thank you for taking our questions. We have two points here on our side. The first one is regarding profitability. We saw an important expansion in profitability this quarter and we would like to know that besides the cut-off in workforce, what are the main other drivers or initiatives to boost the EBITDA margin in 2023? And the other question is regarding the top line dynamic is in the communication-as-a-service division, when do you guys expect to see some start of improvement on the revenues growth in this segment? That's basically it, guys. Thank you very much.
Shay Chor: Thanks, Gabriela. I guess, Caio can take us with the details as let me just give a brief reminder here. So we are expecting approximately BRL70 million in savings in '23 coming from all the effort that we did as of mid-year of '22, approximately BRL40 million comes from personnel as we've been saying and there's about BRL30 million in other lines and Caio can provide some details on where this BRL30 million are coming from.
Caio Figueiredo: Yeah, of course, Shay. The BRL30 million mainly coming from the reprioritisation of our initiatives and we are starting to map. We did map already all the expenses that we can cut and not impact the performance of the business or we can do with our third-party do it ourselves. So coming from consulting, coming from also travel expenses and so on. So we did a really detailed job here on mapping all the expenses that we could cut without impact the performance of the business.
Shay Chor: And Gabriela. I'm sorry, you got a little for me. Can you just repeat your second question?
Gabriela Moraes: Yeah, sure. It's regarding the revenues growth in the communication-as-a-service division. When do you guys expect to see some improvement in the revenues growth of the division?
Shay Chor: Okay. So as we've been saying our -- for our CPaaS business, as the end of Q2 of '22, we started to see increased competition with some players even go into a price that from our perspective would lead to negative profitability. So we decided to try and find the right balance between growth and profitability. So it has been very volatile from this perspective from what we see in the market. The second half of last year continued with this strong competition. We are seeing the market less competitive in the first months of '23. In our guidance, we embedded about flat in terms of CPaaS. It will essentially, Gabriela, depend on how the market behaves in terms of pricing. This is not a business where we look into margins in terms of profitability. We look into profitability in terms of absolute reais generated because this business generates cash and this cash is the cash that we use to continue investing in expanding our SaaS business. So because we stopped looking into margin in percentage terms and start looking in absolute reais terms, we are less concerned with how top line behaves and we are way more concerned with how much gross profit we are generating. So as long as gross profit is growing, that's what we will be aiming at. That said, again, we are seeing the market in the first months of '23 behaving much better in terms of pricing than it was in '22. I don't know if Caio or Cassio has anything from a more high-level perspective to add here.
Cassio Bobsin: Thank you. You nailed it, Shay. We're seeing the mark that is getting strong base in terms of demand for CPaaS, although at some times, it becomes more competitive. We should all be able to achieve what we are focusing on, which is profitability, and that's doing pretty well and looking forward to see a nice way to move into the whole year in terms of profitability from CPaaS.
Gabriela Moraes: That's super clear, guys. Thank you very much.
Operator: Well, the next question comes from Leonardo Olmos, sell side analyst from UBS. We are now opening the audio, so that you can ask your question live or I can read it here. I will read it. Hi. Good morning. Leonardo Olmos from UBS here. One question from my end. Please discuss the expected evolution for the shift in revenue mix. When do you expect the revenue to grow back again? And what is the new normalized growth rate we should expect from Zenvia? Thank you and have a good day.
Cassio Bobsin: Shay, I'll take this from the -- the shift in revenue mix and like what we expect and then you can complement on the expected numbers. So looking for the big strategy, the big picture of the strategy that we're doing here. We're seeing the SaaS business that's going onto a healthy growth over the couple -- this couple of quarters and we expect 2023 to keep the same pace of healthy growth, which means sustainable, not focusing on growth that would be very costly to achieve, but growth that can be sustained over time with a healthy rates that flows to gross profit and then flows to EBITDA. As we understand that the whole market is expecting us and the whole tech industry to generate at some point, but now we're going to get into that direction and balance with CPaaS is the one that we look for. How much are we able to achieve in terms of growth from CPaaS while we're considering gross profit, as Shay already mentioned. So we're seeing both businesses doing pretty well and we're seeing very high demand. We're seeing them getting back to growth and especially when we look at gross profit growth. So that's what the way we're driving both businesses, both parts of the business into the numbers that we pick to drive in terms of what we expect looking 2023 and forward so Shay or Caio would complement on the numbers the normalized growth.
Shay Chor: So thanks, Cassio. So, as we've been saying in our guidance is detailed in this and there's a reason for that, right? So we, as we said, our CPaaS business, we expect it to be flat. And again, the reason is that for that specific business, we are not concerned with how our top line grows as much as we are concerned with our gross profit and EBITDA and cash generation evolves. So we are looking more on the CPaaS business on a gross profit and EBITDA basis than revenue growth, but you should expect it to be flat, if any, if it goes well and as we've seen improved, you can assume that low single-digits could be done. But again, at this point, we prefer to be on the safe side and wait for to see if the competitive dynamics improve. And as for the SaaS business, we continue to see the SaaS business growing at around 30% a year. Q4, it grew 40%, 44% on a pro forma basis. We continue to see a combination of net revenue expansion with clients being added and that's the normalized level you should expect for the different businesses. I don't know if Caio wants to add anything to that.
Caio Figueiredo: Sorry. Yes, Shay, of course, it's important to add here that we expect growth, although we see a flat in CPaaS revenue from '22 to a full year view, we expect growth at the second half of the year because of the first half of the 2022 was a strong half for CPaaS in terms of revenue and in the second half of '22 we start to feel the stronger competition. We had a little bit of reduction on our CPaaS revenue. We expect the growth to come back in the second half of 2023. So that's important too and they will make the year flat, but it's important to highlight that.
Operator: [Operator Instructions]
Shay Chor: Eric, I'll take a question here. Do you expect to have to raise debt or equity this year to give yourself more breathing room? We are working with several different alternatives to give us breathing room. And that on top of the earn out renegotiations as we announced in late last year. So the answer is, yes. We've been discussing with banks possibility to extend maturity of the short-term debt that we have maturing this year. And all other instruments and alternatives that are available to us. And obviously we understand that there's still some funding gap. And we will take all the measures and we expect to be a matter of weeks, not months, to be able to come back and announce to the market that we are on the right track to solve our short-term funding gap. There is a follow-up question on the same topic, which is cash flow for 2023. So if we assume BRL80 million in EBITDA at the middle of the range of the guidance that we provided of BRL70 million to BRL90 million, so BRL80 million in EBITDA, we expect CapEx to be around BRL40 million, BRL45 million. So that's EBITDA minus CapEx close to BRL40 million, BRL35 million. And then we have approximately BRL40 million, BRL45 million in interest to be paid. So that gives you an idea of cash flow expectations for 2023. And that's why we see that there is still some funding gap that needs to be solved in the next 12 months. Another question here. With a strong gross profit margin reaching over 55%, why is the gross margin guidance for '23 almost unchanged year-over -year? I'll let Caio answer this.
Caio Figueiredo: Yes, of course, Shay. So we have two reasons here. First is because of this SaaS business, we expect a little bit of reduction on margins because of the better allocation between cost and expenses for the acquired companies. So we did a really strong job on allocating better what is really cost and expenses. And when we are migrating some cost and expense, they'll reduce a bit of the margins when comparing to 2022 from the acquired companies because they are smaller, they don't have the currency that needed in terms of allocation. So that's reason one. Reason two is also we do it to the market environment for CPaaS that we're seeing. We expect a little not keeping those margins for that we saw in CPaaS during the year. We expect a little bit of reduction in order to guarantee the flat number revenue you saw between and the growth that we expect in the second half of the year. So that's the main two reasons.
Shay Chor: Thanks, Caio. Eric, can you report to see if we have more questions?
Operator: [Operator Instructions]
Shay Chor: There's another one interesting here, and I'll pass that to Cassio. Would you guys add in the reports Rule of 40 for Zenvia? Cassio, I think it's interesting for you to discuss not only the Rule of 40, but all the SaaS metrics that we look at into our day to day decisions.
Cassio Bobsin: Yeah, sure. We love SaaS metrics and these are the ones that we apply internally to check the healthiness of the business. And looking at specifically this concept of combining growth rate and profit margin. As we're walking towards a path of interesting profitability, these exact number is going to have a very interesting balance in the next couple of quarters as we are forecasting around 10% of the margin. And from 2024 we are seeing I mean from the beginning of the year to the end of the year, we expect it to be a rising of this margin. We're seeing a very interesting balance of how we're able to manage this growth rate with EBITDA margins. We do have two different businesses, which means CPaaS has different logic and comparing to SaaS, which makes a bit more difficult and tricky for us to disclose just for the portion of the business. So that's why we and the auditing team prefer not to explicitly declare these kind of combined metric because it would become a bit more I mean tricky to report both CPaaS and SaaS, but we do use that for SaaS and it's doing pretty well in that sense.
Shay Chor: Thanks, Cassio. Next here, two questions on balance sheet. And first one, what contributes to the BRL120 million increase on trade payable year-over-year? Caio, can you take that?
Caio Figueiredo: Yes, of course. So in trade payable, we have mainly the carriers, the carriers that we have. They use our -- that we use for CPaaS for all the metrics that we use in the CPaaS mainly in the CPaaS business. And also the increase comes from the Twilio agreement that we have because the volume of Twilio, they use our infrastructure in Brazil, it's increasing. And so that makes us our total payable to the carriers higher. So that's the main reason why this tradable payment is higher from when compared to the last year.
Shay Chor: And just to add here for clarification, our agreement with Twilio is for revenue anticipation, right. So Twilio pays us three months in advance. So there is a positive working capital from this perspective because we get revenue from Twilio ahead of our payment to the carriers. So it has been one of the tools we've been using to improve our working capital metrics. The second question on balance sheet is, can you explain how the liabilities from acquisition increases from 280 million to 350 million sequentially? Shouldn't the payment negotiation with D1, SenseData and Movidesk reduce their liabilities instead of increasing it? Back to you, Caio.
Caio Figueiredo: Yes. No, so the payment, the total amount should not reduce because we renegotiated the method of payment not in one instalment, in several instalments until 2026, but the overall payment amount of payment kept the same. Actually, when we renegotiated, especially Movidesk, we needed to recognize on our balance sheet. There is no amount that was not recognized in the past year. So that's why the increase. But the overall amount that we should pay did not change. So as expected. So that's why they increased. The only change that we had here was on how we pay those earn outs.
Shay Chor: Can you provide some color on your recent ChatGPT integration? Is there a strong demand from clients in general? What you're most excited about AI integration at Zenvia. That's for you, Cassio.
Cassio Bobsin: Yes. As all of you have been checking on all the evolution of generative AI, we have been working with Microsoft and OpenAI to integrate this technology into our products. So we launched a couple of weeks ago the first integration for creation of generation of campaign content. And we've been evolving into other fronts of how to use the generative content into the different processes of customer experiences. I would say we're seeing very interesting opportunities to help both sales reps or customer service agents using our tool to be more productive with ChatGPT suggestions of next best answer. And also analysis of ongoing customer interactions to get a better review of these interactions so you can then act on the best interest of the company and also of the customer. We've also been working into different fronts to help customers into different parts of our product usage. So being testing different opportunities to adopt ChatGPT into the whole UX and UI of our platform. So there are many fronts being worked on at this time at this moment. So we expect the next couple of weeks to release a more coupled to our customers. Some of them are in beta with a few customers. So we're very actually very excited because we're seeing that this technology is really practical and can really be useful right arm as our customers are using our different solutions. And we also see demand from companies to integrate ChatGPT into their bots or automation journeys. Now, although we understand that's a bit of a, I'd say a lot of excitement, some of these have to take into consideration that it's a bit early to let your brand be served by a ChatGPT fully automated bot because at some times can be can get out of control. I mean, you don't control the output 100%. That's why we're seeing that most applications would be either in a very controlled environment or to accelerate the operations for customer service agents or sales reps and of course all other kind of content-oriented process within customer experiences overall. So having said about some of these examples, we're looking at the big picture and it's very important evolution of the whole industry, it's a whole CX industry being able to add this sort of tool in a very easy manner and becoming accessible for everybody. So there's lots of excitement and now we're making it work with our customers and it's doing pretty well in that sense.
Operator: So this concludes our question-and-answer session. I'd like to turn the conference back over to Mr. Cassio Bobsin for his closing remarks.
Cassio Bobsin: Thank you very much for all that and this year we're very happy to be to achieve during 2022 our guidance and some points even exceed our guidance. We're looking forward to 2023 to have a great year, a year where we are starting to benefit from all the acquisitions that we made in the last couple of years now fully integrated, being able to then to benefit from all the synergies. Our customers are very excited about all the opportunities we are being able to drive to them, not only on the AI side, but especially on the unification and integration of our solutions into becoming a very clearly unified CX SaaS platform that will lead this whole evolution and transformation of the customer journey. So it will be a great year and thank you very much for the attention and for the time. I hope you see on the next one.
Operator: The conference has now been concluded. Zenvia's IR area is at your disposal to answer any additional questions. Thank you for attending today's presentation. You may now disconnect and have a nice day.